Operator: Ladies and gentlemen thank you for standing by. Welcome to FIS Third Quarter 2019 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded.I would now like to turn the conference over to our host, Head of Corporate Finance and Investor Relations, Nate Rozof. Please go ahead.
Nate Rozof: Good morning and thank you for joining us today for the FIS third quarter 2019 earnings conference call. The call is being webcasted. Today’s news release, corresponding presentation and webcast are all available on our website at fisglobal.com.Beginning on Slide 2, Gary Norcross, our Chairman, President and CEO will discuss our third quarter 2019 business highlights and FIS’ growth strategy. Woody Woodall, our Chief Financial Officer will then review FIS’ third quarter financial results, synergy performance and provide updated guidance for the fourth quarter and full year.Turning to Slide 3, today’s remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law.Please refer to the Safe Harbor language. Also throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings and adjusted net earnings per share. These are important financial performance measures for the company, but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information, are presented in our earnings release.With that, I will turn the call over to Gary.
Gary Norcross: Thank you, Nate. Good morning and welcome to today’s call. Beginning on Slide 5, I am very pleased to be able to share our outstanding third quarter performance with you. Our financial results were excellent with revenue, adjusted EBITDA and adjusted EPS all significantly exceeding our expectations. We also got off to a very fast start with both revenue and cost synergies especially considering we operated for only 2 months as a combined company. As a result, we are raising our fourth quarter and full year guidance for revenue, EBITDA and EPS as well as our 2020 cost synergy target.The strength of our third quarter performance and raised outlook clearly demonstrates the power of this combination and our overall growth strategy. Including 2 months of Worldpay contribution, we generated more than $2.8 billion in revenue and approximately $1.2 billion in adjusted EBITDA. This represents 35% revenue growth on a GAAP basis over 5% organic growth and 350 basis points of margin expansion. We generated $1.43 of adjusted EPS, which was well above our expectations. In the third quarter, sales were up more than 25%, increasing our backlog 9% organically, accelerating from 7% growth last quarter. This gives us clear line of sight to continue revenue growth throughout 2020. FIS has successfully generated seven consecutive quarters of exceptionally strong sales. Merchant Solutions also saw continued strong sales momentum within our e-commerce portfolio, including 23 cross-sell wins in the quarter, accelerating from 14 wins in the second quarter. We think these cross-sell wins are another strong indicator of the success and scale that our newly combined company can deliver.Turning to our early synergies from the Worldpay integration that clearly showed that the combination of our two companies is paying significant dividends, our combination is strategically differentiated on three main fronts. First, we have a unique strategy to accelerate organic growth by aggressively investing in innovative technologies and automating complexity. Second, we are combining the premier assets in the industry to create leading solutions focused on secular high growth markets. Third, we are bringing value to our clients with our world class scale.We exited the quarter generating more than $30 million in annualized run rate revenue synergies with significant future opportunity. I’m excited to announce that we have already signed agreements with two of our bank clients to expand our relationships in the merchant services. This includes a merchant referral agreement within $11 billion bank in the United States as well as an agreement with a large banking client in Brazil. With this agreement, we are now enabling merchant processing in Brazil at the point of sale for over 500,000 merchants. This step forward demonstrates the power of our new companies global reach as neither company would have won these transactions on their own. These early wins illustrate the power of our end-to-end value proposition and we have a solid plan in execution timeline that will drive our results to achieve our $500 million revenue synergy goal.With regard to cost synergies, our team began executing immediately and upon close and generated well over $200 million in savings on an annualized run rate basis exiting the third quarter. Woody will go into more detail regarding cost synergies, but given the outstanding results today, and our current plans, we are very confident in delivering more than $500 million in total cost synergies. The integration of these large transformational M&A transactions continues to be a core competency, and we will utilize it as part of our strategy and further accelerate our organic growth and shareholder value.Turning to Slide 6 to discuss our growth strategy, we continue to aggressively invest in new technologies across all three of our segments. Investing in future innovation to benefit our clients started more than three years ago. It’s part of everything we do at FIS and we will continue to drive our client value proposition. These significant innovations are now coming to market and not only driving our sales results but leading to our accelerated growth. Our clients depend on us to stay ahead of the market and make investments that enable them to run their operations more efficiently, connect with our customers and grow their businesses. With the addition of Merchant Solutions, our growth rate will expand to 6% in the fourth quarter. We see numerous secular growth opportunities in all three segments and our clients and partners are excited about the potential value we bring to them by solving their current and future needs.Turning to our segment performance, our Merchant segment continues to benefit from its exposure to secular high growth markets and ability to win market share through superior client service. For example, a leading global coffee chain selected FIS for in-store payment technology across more than 600 locations in the UK and Europe. Our global reach, innovative capabilities and differentiated approach resonated with the iconic coffee giant as it expands into new markets. In addition to this marking new client win, Merchant renewed its important strategic relationship with Kroger to continue providing our innovative suite of omni-channel payment solutions. While we typically do not highlight renewals, this is one of the largest clients of the former Worldpay business. And we were thrilled with the early commitment Kroger showed in extending our long-standing partnership. In our Banking segment, our clients are reinventing their business models to create seamless digital experiences for their customers using our advanced technologies. For example, we expanded our relationship with the Global Bank to implement a real-time payment solution for their corporate clients in 9 countries. The bank chose to partner with us due to our prudent capabilities and expertise as well as our ability to move quickly to meet Europe’s regulatory requirements. In addition, a large regional bank in the U.S., decided to switch to our outsource suite of core Banking Solutions after acquiring one of our clients. The combined company now has assets approaching $50 billion, and represents a consistent theme of large financial institutions looking at FIS to solve their complex core banking business challenges. The decision was driven by our scalability and our consistent investment in new products as well as our tremendous scale in the large regional banking market.Similarly, in our Capital Market segment, our investments to automate complex process is using advanced end-to-end technologies or resonating clients. For example, a large institutional broker signed an agreement to implement our Consolidated Audit Trail solution to effectively meet new regulatory requirements for monitoring securities trading. Regulatory compliance is critical for our capital markets clients and our ability to automate these processes is a true differentiator. This is our 12th Consolidated Audit Trail win this year and shows our ability to work at scale to simplify the complex. We also expanded our strategic relationship with a large global Financial Services Corporation. In this enhancement we are bundling several FIS cloud based solutions to help this organizations global travel services enhanced treasury controls, optimize cash visibility and reduce fraud. These impressive client wins across our segments demonstrate the strength of our business model and powerful client value proposition. I am very proud of the team sales and operational execution, especially given the backdrop of the significant integration activities occurring throughout the company. With such strong results in revenue synergies already starting to ramp, I’m increasingly confident in our expectation for organic growth to approach 7% next year and to further expand to 8% to 9% in the future.I will now turn the call to Woody to round out the financial discussion before he opens the call to questions. Woody?
Woody Woodall: Thank you, Gary. I will begin with our results on Slide 8. We had an outstanding quarter. Revenue increased 5.4% on an organic basis to $2.8 billion, with strong top line performances from all three of our segments. Adjusted EBITDA increased to $1.2 billion during the quarter and our margins expanded 350 basis points to 42%. We expanded margins by generating operating leverage, driving data center consolidation and achieving cost synergies. We also benefited from the inclusion of high margin merchant revenue for the last 2 months. As a result, adjusted EPS was $1.43 per share, reflecting our strong revenue and EBITDA performance.Turning to Slide 9, we accelerated the timing of both revenue and cost synergies. In only 2 months, we have already achieved revenue synergies of more than $30 million on an annualized run rate basis primarily through the benefits from debit card routing. We expect revenue synergies to ramp up from here, giving us clear line of sight to our $150 million target by the end of 2020. This fast start gives us confidence to increase the fourth quarter revenue guidance and gives us an early lead on achieving our revenue synergy goals. In addition to the debit card routing benefits, we also expect to achieve revenue synergies through cross-selling our combined portfolio, improving authorization rates, reducing fraud and expanding our geographic presence. For example, our first joint loyalty as a currency client is on track to go live during the first half of next year. Completing the integration of this solution into the Worldpay platform will mark a significant milestone. It will streamline the on-boarding process for future clients, allowing us to significantly ramp-up sales and distribution in order to accelerate revenue synergies. At this early point in the integration, we are ahead of our planned revenue goals which puts us clearly on track to achieve our $500 million revenue synergy goal by the end of 2022.Turning to cost synergies, we achieved more than $200 million in annualized run rate cost synergies exiting the third quarter. As a result of our rapid progress, I’m very pleased to increase our 2020 cost synergy target by $50 million to more than $350 million in annual run rate savings. The team has been working hard to drive cost out of the business and started executing, day one. We drove cost synergies in the third quarter by reducing duplicative corporate costs as well as by achieving interest expense savings that we announced last quarter. Moving forward, we will achieve our cost synergy targets primarily by consolidating our merchant and issuer processing businesses as well as by streamlining operating and technology costs, while maintaining a focus on accelerating revenue growth. We feel very confident about our ability to achieve or exceed our synergy expectations and look forward to continuing to update you on our progress each quarter.Moving to Slide 10, I would like to add some color on our segment results. Merchant Solutions grew 8% organically, including 2 months of Worldpay during the quarter. We expect Merchant Solutions to accelerate to 10% growth in the fourth quarter as we realize additional revenue synergies and we expect similar growth levels in 2020. Turning to adjusted EBITDA, the Merchant segment generated $371 million in the quarter, representing a very healthy 52% margin. Our Banking Solutions segment increased 5% organically. The strong performance was primarily driven by continued new sales over the past several quarters as Gary described earlier. As a reminder, it takes several quarters to convert new sales to revenue giving us great line of sight to our organic growth targets through 2020. Our strategy to accelerate growth by investing in technology and innovation is clearly paying off. Banking generated $641 million in adjusted EBITDA driving a 43% margin. Capital Markets also generated very strong organic growth of 5%. This top line growth was primarily driven by a significant increase in recurring revenue, while license revenue remained relatively flat. We continue to shift the revenue mix of this segment from license fees to our recurring or SaaS-based subscription revenue model. Our growing recurring revenue base is building a strong foundation for future revenue growth as well as providing more visibility into our go-forward revenue expectations. The Capital Market segment generated $280 million in adjusted EBITDA, representing a 46% margin.Turning to our capital allocation strategy on Slide 11, this quarter, we saw 23% conversion of revenue into free cash flow, up from 20% last quarter. As a result, we generated $640 million in free cash flow with only two months of Worldpay, which is nearly double the amount that we achieved in the prior year period. We use the strength of our third quarter cash flow to aggressively repay debt. We have already paid down more $700 million of outstanding debt since closing even as we continue to fund integration. We also doubled our quarterly dividend payment to approximately $215 million following the increased share issuance related to the Worldpay transaction. We are committed to our investment grade credit ratings and we will quickly delever to achieve our 2.7 times leverage target by the end of 2020. Even as we de-lever the strength of our balance sheet gives us flexibility to continue to invest in innovation for the benefit of our clients as well as to execute tuck-in acquisitions to further enhance growth.Moving to our fourth quarter and full year guidance on Slide 12, we are raising our revenue, adjusted EBITDA and EPS guidance ranges for both the fourth quarter and full year. At the midpoint, we are increasing our revenue guidance by $7.5 million for the fourth quarter and by approximately $40 million for the full year. We are raising our adjusted EBITDA guidance by $10 million for the fourth quarter and approximately $50 million for the full year. Finally, we are increasing our adjusted EPS guidance at the midpoint, about $0.03 for the fourth quarter and about $0.12 for the full year. The increase to our fourth quarter guidance primarily reflects current business trends and ongoing synergy achievement, while our higher full year ranges reflect both the outperformance that we generated in the third quarter as well as our increased fourth quarter expectations. Our results and outlook demonstrate the strength of our business model and the power of our growth strategy.This concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Thank you, ladies and gentlemen. [Operator Instructions] Our first question comes from the line of Dan Perlin with RBC Capital Markets. Please go ahead.
Dan Perlin: Thanks. Good morning, guys and nice results. I wanted to ask a little bit about kind of the modernization of your banks. In the past, you talked about where they had to kind of go down this pathway in order to really implement a lot of the new technologies and I am just wondering what you saw now you’ve got this combined entity and those kind of conversations and just where we are in that process?
Gary Norcross: Yes, I know, Dan. Thanks. It’s a great question. I think we’re in the early, early innings of the transformations going on. At FIS, we are in the later innings of that. Obviously we started well over three years ago modernizing all of our technology stack and pushing our compute into our own private cloud. We then also started modernizing all of our application layer and bringing on next generation digital experiences, and frankly next-generation capabilities across all of our segments, and that’s resonating well with our clients. And you are seeing that in our quarterly results with seven strong quarters of revenue sales, but we think we are very early in the process. Frankly, as we have discussed on prior calls, I think the industry held on too long to legacy based technologies and really we are seeing our clients now have to make that transformation. So we are excited about the investment that we started years ago. We are excited about our timing for where the market is and really puts us in a really good spot as we look to the future.
Dan Perlin: And just as a quick follow-up, can I ask about the geographic mix that you are thinking about the demand environment and specifically, we have just heard concerns around Europe kind of intra-quarter and so anything on that would be great? Thank you.
Gary Norcross: Yes. Now, when we look across Europe and frankly the UK, what we are seeing in the UK with Brexit specifically, we have already seen that volume kind of go down the recessionary period. So anything that would show any kind of improvement would actually be a tailwind for us. I would agree, Europe has been a little slow for us across the broader banking capital markets as well, but we have had some nice wins here recently. Other areas like Brazil, we have seen some nice growth data. We continue to see Asia strong. So our geographic footprint continues to be a very good differentiator for us from a global perspective, but when we look at Europe and Woody talks about our guidance and where we’re seeing coming in we’re really keeping Europe and broader UK at current levels.
Dan Perlin: Great. Thank you.
Operator: Thank you. Our next question comes from Lisa Ellis with MoffettNathanson. Please go ahead.
Lisa Ellis: Hi, good morning guys. Nice overall results here. Just one clarification on the Merchant Solutions side, can you – I realize Worldpay is only in that number for 2 months of the quarter, can you give us a sense for one what the whether or not that legacy business is still running at that sort of 10% organic growth number, it’s been running at. And then also just within that, can you give a sense for how e-com and integrated are tracking. E-com in particular just I realize that’s a small piece of the business but just so critical to the overall growth? Thank you.
Woody Woodall: Yes, it’s a great question. We tried to highlight last quarter, we expected a little noise related to the transaction in the third quarter and we only had two months in there, that probably impacted by roughly a point negatively in the quarter. We also saw technology solutions in the old Worldpay nomenclature mid to high teens with continued momentum and expectation of that mid to high teens type level both e-com and integrated had very strong quarters as we expected. And we continue to see that through both the fourth quarter with a call out of expecting 10% growth for the Merchant Solutions group in the fourth quarter and continuing that momentum into 2020.
Gary Norcross: Yes, Lisa to build on that, we kind of highlighted in the prepared remarks on our e-commerce sales success. We saw really nice sales win and that in those sales wins accelerating from a cross-sell standpoint with 23 wins this quarter compared to last quarter. So everything I would tell you, we are seeing good strong results and actually to your point, e-commerce is very, very important to the overall growth strategy and continued leadership in that space.
Operator: Your next question comes from the line of George Mihalos with Cowen. Please go ahead.
George Mihalos: Hey, good morning guys and let me add my congrats on a strong quarter.
Gary Norcross: Thanks, George.
George Mihalos: If we can just dig in a little bit on that last question specific to the tech solutions, I think, Woody you said it was growing kind of in the mid to high teens that would seem to suggest that e-com – I would think e-com is kind of still growing in that 20%ish range. So, one, is that the right way to think about it? And then you had a lot of momentum with cross-sells and the like, just curious is servicing marketplace is a big opportunity for that e-com business or is it more kind of blocking and tackling and getting sort of a full suite for merchants that you might be servicing offline and trying to get the online business?
Woody Woodall: Yes, I will get the first question and maybe let Gary guess the second half of it. We talked about integrated or the old technology solutions growing roughly mid to high teens within if you break that down even further we would anticipate e-com in the fourth quarter and into 2020 to stay close to that 20% level and feel very good about the momentum in that business right now. Within the third quarter, specifically, it was in the mid to high-teens when you normalize some wins from last year, but very pleased with the overall growth of that business and anticipate it to continue to stay at those nearly 20% levels in the e-com.
Gary Norcross: Yes. And George to build on that, I think it’s important when we talk about e-com, we are talking about really pure-play level online acquiring. So, when you think about brick-and-mortar moving to online that really falls up under our omni-channel deployments. So now our e-com business which is pure-play really is growing very, very high as Woody just said greater than 20%. I think the cross-sell wins are important indicators. Even in the first quarter we did 16 of those, second quarter came in at 14 wins and then Q3 at 23 wins. So, Mark Shane and the group are really doing a nice job continuing to grow that business.
George Mihalos: That’s great. Really, really appreciate that. And just one more if I can kind of sneak in, when you look at kind of the synergies on the revenue side, is there any way to think about that opportunity in near-term kind of domestic U.S. versus international maybe where you might be seeing some more momentum?
Woody Woodall: Yes, I would anticipate we expect it to come out of the gate strong. We highlighted debit routing is some of it. I will say more of that in the U.S. right now, but I would tell you we are actually slightly ahead of plan on our revenue synergies coming out of the first couple of months and feel very good about executing that, but more of that in the run-rate right now would have been in the U.S.
Gary Norcross: Yes, I mean, I think George just building on that, if you look at our revenue stream, more than 70% of our revenue streams in the U.S. So naturally our cross-sells, naturally our revenue synergies is just going to be heavily weighted toward the U.S. But I think you’re going to see our revenue synergies really pretty much in alignment with the way the revenue falls as the company. So we will see nice opportunities outside the U.S. as well. We highlight the Brazil opportunity that we just signed and there will be more that come online, but just given where the book falls in general in all of these revenues are going to be cross-sell up-sell pull through data utilization, etcetera. The revenue synergies will predominantly fall in the same manner as our current revenue.
George Mihalos: Thanks guys.
Operator: Thank you. Our next question comes from Jason Kupferberg with Bank of America/Merrill Lynch. Please go ahead.
Jason Kupferberg: Hey. Good morning guys. How are you?
Gary Norcross: Great, Jason.
Jason Kupferberg: So I just wanted to ask following up from last quarter, when I think you had indicated that the deal should be modestly accretive to adjusted EPS in 2020 and that was relative to the standalone FIS number of I believe $6.16. I just wanted to see if you wanted to put a finer point on the magnitude of accretion, we should be thinking about in 2020, especially since you have now raised the expense synergy target for next year?
Woody Woodall: Yes, I am not going to give 2020 guidance today on the call, but I would tell you that gives us incremental confidence on both remarks I made last quarter which we are approaching 7% organic revenue growth, has incremental confidence on that coming out of the gate with strong revenue synergies and then accretive to that $6.16 number you mentioned there, I have incremental confidence on that and we look at the overall increase in the cost synergies next year, but not giving a finer point on it at this point. We will give more color in February when we actually outline the 2020 guide specifically.
Jason Kupferberg: Okay, fair enough. Just as a follow-up, wanted to get your latest observations in terms of some of the smaller competitors in the market that tend to be turned more to the cloud-based competitors in core banking, there was a bit of chatter on that topic 2020 last week. So I just wanted to get your perspective especially as more of the neo banks keep popping up?
Gary Norcross: Yes. I know, I think we keep highlighting throughout our calls. Obviously, we would say we are the leader in cloud-based computing today at this point in time and financial services given all of our data center consolidation and us consolidating the vast, vast majority of all of that work to the cloud today. Some of the things we are doing with technology really hasn’t been seen in the industry before. When you look at our application stack of bringing online, our next generation cloud-based applications you’re seeing success. And we’ve announced several wins on the call, and we have several more coming on specifically core banking. So whether you’re looking at our omni-channel digital experience is Digital One full cloud-based type technology you are also – we have announced several wins on our core banking next generation core banking platform and actually have one of those online as well. So we think we respect that there is always going to be competitors in the industry. But given our position, given our scale, given our historical investment and timing, we think we’re well positioned to take advantage of the next generation of technology in computing in the industry.
Jason Kupferberg: Okay. Well, thanks for the comments and congrats on the quarter.
Woody Woodall: Thank you, Jason.
Operator: Thank you. Our next question comes from David Togut with Evercore ISI. Please go ahead.
David Togut: Thank you. Good morning. Good to see the strong sales growth in bookings growth, Gary and Woody.
Gary Norcross: Thanks, David.
Woody Woodall: Thanks, David.
David Togut: Given the strength you have seen in bookings and this looks to be the third consecutive quarter of core FIS in the mid single-digits. Should we expect this mid single-digit growth rate in Banking Solutions to be sustainable into 2020 given the seven consecutive quarters of strong bookings you put up?
Woody Woodall: Yes, I think that’s right, David. The way the business flows we anticipate sales growth driving revenue growth. So as we are seeing that sales growth for several quarters gives us good visibility and we would expect that mid single-digit growth that we highlighted last quarter in the banking segment to continue through 2020 and have a high level of confidence and visibility into that as we continue to click off months of sales.
David Togut: Understood. And then the big win you called out Gary in Brazil in Merchant, how does the pipeline look for cross-selling Merchant business in Brazil going into 2020?
Gary Norcross: I would say holistically, the pipeline for cross-sell for merchant across all of our customers looks very good, right. I mean, we were excited about the Brazil win. But when I look more holistically on a global basis in some of the things that we have going on in the sales channel with regards to Merchant, I am very excited about that overall business and our ability to cross-sell into our customer base. The response has been very strong since the closure.
David Togut: Understood. Just a quick housekeeping question, for the third quarter, what would total revenue and EBITDA have been if Worldpay were included for the full quarter?
Woody Woodall: I don’t have the dollar amounts of revenue David. I would tell you that will be slightly under the 6% number as we had some of the noise from the transaction in there. We do still anticipate full year pro forma revenue as if Worldpay would have been in since January at right at 6%.
David Togut: Understood. Thank you very much.
Gary Norcross: Thank you, David.
Operator: Thank you. Your next question comes from Darrin Peller with Wolfe Research. Please go ahead.
Darrin Peller: Thanks guys. Maybe just touch a little more on the driver supporting the strong growth in the legacy FIS side for a minute just because I know bookings have been good, but just more particularly, what’s driving that 5% on cap markets. I know that you expected to accelerate to get it was definitely a rate we haven’t seen much in a while on that segment. So that’s great to see. But that segment as well as even the banking side. I mean, I know you just said it would be sustainable maybe a little bit more of detail around what’s driving that sustainability now? And I just want to hone in on one follow-up. Go ahead Gary.
Gary Norcross: No, go ahead Darrin, get your follow-up questions.
Darrin Peller: Yes, I mean really just trying to understand when you combine that, if that’s stable. If you combine that with the traction we’re seeing on the cross- sells you went through on the Merchant side, right, whether it’s the cross-sells manifold pay and some of those synergies, just talk about timing on when we would expect those to come on? When do you expect the revenue from legacy cross-sells manifold pay deals you did to actually start showing up in revenue. Some of the clients you won last year. And then where are we on the rewards, NICE and the car production build out?
Gary Norcross: Okay. So look a lot in there, let’s back up to the base banking business, capital markets business and acceleration capital markets specifically. We talked about last quarter that we were seeing acceleration in capital markets. One of the things that we’re real pleased with is actually license being capital markets were flat. We actually saw an acceleration, we’ve been telling the market for some time that we are seeing this movement from licensing on premise to deploying our technologies and our SaaS model. That’s back to our investment in innovation and back to investment in technology and leveraging cloud-based computing technology, so all of that is playing huge dividends for us when you look at our scale. So we expect to see capital markets continue to accelerate in Q4 based on that investment. Banking as well, we are at an interesting inflection point in the industry. We really have a lot of legacy technologies in market, and frankly we started those investments as I said, more than three years ago where FIS started investing heavily in new innovation where we really pivoted our spend from legacy technologies to the future. You saw that impact our growth rates in the short-term, because frankly we were spending our capital dollars in areas where we didn’t have product to deploy against, but now you’re seeing the timing work out very well for FIS, where our customers are looking to take advantage of some of these lower their total cost of ownership, improve their overall digital experience across their end customers and that’s all resonating not only in our sales pipeline, but you are seeing our closings. I mean those are very strong results on sales now for seven consecutive quarters. So whether you are looking at Merchant, where we are leading and e-commerce, high valued e-commerce, high valued technology integration, banking or capital markets that key theme plays out very well and is really playing into our accelerated growth rate significantly.
Woody Woodall: If you are looking at the specifics on timing of revenue synergies, they will ramp over the course of the year, next year. We’re starting to see some of those cross-sales from the Worldpay Vantiv flow into the actual results now, and they were built into our expectations as we outlined those last quarter and we’ll see the new revenue synergies sort of flowing through over the course of the year, next year.
Darrin Peller: Okay, alright. Just one last quick follow-up, I mean, the RFPs that we are hearing about on e-com sounds like they’ve accelerated maybe even 2 to 3 times what they were last year for gateway consolidation. Are you seeing the same thing and it seems like there is maybe only four or five key players winning a lot of that bulk of those RFPs. What kind of win rates are you seeing, obviously the 23 you announced is a good sign of that?
Gary Norcross: Yes. Now look, I mean, we are seeing obviously increased demand for our solution set, I mean e-commerce is doing very well. We think there is really three significant players in the space today. And clearly, we are the lead global player in that mix. And you are seeing that in our cross-sell wins. And the team just doing a really nice job of selling into this key high growth secular market and you will continue to see us ramping that up and also the revenue associated with that and driving into the results as Woody talked about.
Darrin Peller: Alright. Thanks guys. Great.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar with Citi. Please go ahead.
Ashwin Shirvaikar: Thanks. Hi, Gary. Hi, Woody.
Gary Norcross: Hi Ashwin. How are you?
Ashwin Shirvaikar: Hey, good, good. Thank you. These are good results. Appreciate the raise very solid. Can I start with, I know you are not providing 2020 guidance, but investors are clearly focused on the future. So perhaps maybe I can start by asking, our led things investors should watch out for from a modeling perspective as they put down more granular numbers any quarterly trends, the cadence of synergies coming in any comp things to watch out for?
Woody Woodall: Yes, it’s a good question. We continue to add color. I would tell you, first quarter comps next year have some challenge and maybe you remember this year Banking had a very strong first quarter of 2019. They had some tailwinds in it. So there is some comps in there. We anticipate revenue synergies to increment over the course of the year as they take form from achieved to realizing them in the P&L. So we’ll see that. We tried to give some color around merchant being at roughly 10% going into 2020 with good line of sight. Banking to be mid single-digits and the Capital Markets group to be low single-digits with some optimism on Capital Markets as we continue to see the quality of that revenue, the recurring nature of that revenue continue to increase. But we have incrementally more confidence in a 7% or approaching 7% organic growth in 2020 and certainly have incremental more confidence on the comment regarding it being accretive to the $6.16 I mentioned last quarter. So those would be some incremental color points Ashwin as we go into 2020.
Ashwin Shirvaikar: Got it. Now, thank you for that. And then I know as a company both you guys and legacy Worldpay, always been sort of focused on reinvesting. So when you talk of increased synergies, is that a gross number. Is that a a net number and the reinvestments, what are the focus areas for you now. And then sort of clarification, obviously you guys have announced new headquarters. Could you just kind of provide the capital allocation on that?
Woody Woodall: Yes, the synergy number is a number net of dis-synergies, if you will. So things that we would have to invest related to the transaction, specifically would be netted into that number. To the extent we decided to invest further in other areas we would obviously call that out in a different way, but that synergy numbers, net of dis-synergies within the overall guide for 2020. We are or just announced, we will be building a new headquarters here in Jacksonville, effectively consolidating existing – three existing spaces that we have today in Jacksonville and we’ll expand and grow some incremental jobs. We continue to grow the overall company. It is in our overall guidance. It is our overall capital allocation and would not change anything that we’ve outlined already.
Ashwin Shirvaikar: Got it. Thank you, guys.
Operator: Thank you. Your next question comes from the line of Brett Huff with Stephens. Please go ahead.
Brett Huff: Good morning, Gary, Woody and Nate.
Gary Norcross: Hey Brett.
Woody Woodall: Good morning Brett.
Brett Huff: Two questions. One to follow-up on Brazil, we are pretty excited about that opportunity given the limited US presence there. Gary, you talked about a big bank referral win which is great. Can you tell us a little bit about your strategy going forward? Are we going to lead with e-com, are you going to lead with sort of integrated arena lead are you trying to leverage the issuing relationships we have down there. Can you kind of give us a sense of that? And then number two question is, the 25% sales increase or bookings increase was that organic including Worldpay kind of just I want to make sure that I understand what that number is? Thank you.
Gary Norcross: Yes, the first, let’s get the second question first. The 25% is an organic growth number, right. And we have been very consistent on the quarters that we disclosed that. Back to Brazil, obviously what we will continue to focus on, we have been driving heavily into e-commerce and we want to continue to make sure that we leverage e-commerce, where we can appropriately in Brazil, certainly a great opportunity for us on that. But with that being said, we also want to make sure that we take advantage of – we have got a really good, strong client base in Brazil and we want to make sure that we are partnering with those clients in a way and adding value to through cross-sells and up-sells as well. So it will be a combination of both. But I would tell you in general given what we are seeing in that high gross secular market, we prefer to lead with e-commerce and in any point we can on the Merchant side.
Brett Huff: Okay, that’s great. Thank you.
Operator: Thank you. Our next question comes from the line of Dave Koning with Baird. Please go ahead.
Dave Koning: Yes. Thanks guys. Good job.
Gary Norcross: Thanks, Dave.
Woody Woodall: Thanks, Dave.
Dave Koning: Yes. And I guess just first of all on the Merchant segment, is it easiest just to think about the legacy tech solutions high teens in the legacy merchant part low single-digits and that just blends to about 10% over time. And then as part of that is merchant growing low single-digits and can that actually get better like the merchant the old legacy Merchant segment?
Woody Woodall: That’s a rough way to think about Dave. I mean, there are some pieces that were moved around as you know. We certainly saw very good growth in both integrated and e-com and trying to highlight some color on that. One of the theories we had is that the traditional business we could improve and grow faster and I think we’ll see that over time as it flows into the numbers. I think it’s a rough way to think about it. We’re trying to highlight that merchant on a go-forward basis, we anticipate Q4 to be about 10% and in 2020 to be roughly a 10% number, which aligns with that high-single low-double digit comment that we’ve talked about over the past couple of quarters. I feel very good about where the business is health of the very strong growers and our ability to drive some incremental growth in some of the slower business.
Gary Norcross: Yes, I mean in general, Dave. I think the way to think about it is, obviously, we are going to focus on high-growth secular trends that are occurring across our various market segments, right. And so, naturally, we’re going to be focusing heavily in merchant on technology and high valued e-commerce, because there is a very strong secular growth trends there. With that being said [indiscernible] and the team – broader team are doing an excellent job as well with the traditional merchant business. So we’re not going to turn it back on these other businesses, but you will see us continue to focus on where we see high secular growth capital markets, we are seeing a lot going on in RegTech, which is why we highlighted the Consolidated Audit Trail success there. So anywhere we see these higher secular growth trends we’re going to sell into and we think we’ve got excellent technology to deliver against them and you’ll absolutely see those just grow at a much higher growth rate.
Dave Koning: Great, thanks. And just one follow-up on Q4, it seems like the guidance implies growth to be reasonably similar to Q3 unless, I’m mistaken, but I know you talked about merchant accelerating, I think capital markets accelerating. Is banking about the same? Maybe just so you can kind of take the three segments and say which ones accelerating and decelerating relative to the total company Q4 guidance?
Woody Woodall: Yes, I think you’ve got merchant continue to accelerate off of Q3. We anticipate Capital Markets to continue to accelerate off of Q3, and banking closer to the Q3 number as it faces a little more difficult comps in the fourth quarter. Net-net, you’re seeing the increase in the fourth quarter on the guide, basically being driven by revenue synergies. And we already had some of those that revenue and cost synergies baked into the original Q4 guidance overall, and we believe it’s balanced Dave.
Dave Koning: Great. Thanks. Nice job.
Woody Woodall: Thank you.
Operator: Thank you. Our next question comes from Bob Napoli with William Blair. Please go ahead.
Bob Napoli: Hi. Good morning. Thank you for the question.
Woody Woodall: Good morning Bob.
Bob Napoli: Just with the acquisition now of Worldpay, I was just wondering what the thoughts were on your M&A? I understand you’re very tied in right now with integrating and cross-selling, but I would imagine that you’re generating, so much cash flow, you are thinking about – I am sure you are thinking about an M&A strategy. I just wanted to, if there is any change or any thought and how you’re thinking about M&A, in the future as you get more into the integration of the two companies?
Gary Norcross: Yes, Bob, at the highest level, there is really no change. I mean, obviously, we’re very focused on integrating the Worldpay transaction. With that being said, we will do, even now we’ll do small tuck-in type acquisitions to augment growth in areas that we’re seeing going on in the segments. As you said, we’ve got plenty of cash flow to not only pay down the debt as Woody described, but also not only to continue to maintain our dividend going forward, but also to make small tuck-in acquisitions. Once we feel like we’ve got the integration of Worldpay behind us, we want to make sure that we drive accelerate growth we’re looking for also drive the accelerated shareholder value. We’ll then look to see if there is some broader M&A activity. But M&A is going to continue to play an important role in our strategy as we look for ways to accelerate our growth further.
Bob Napoli: Thank you. And just a follow-up on the outlook for EBITDA margins by segments. As you think about that over not only into 2020, but long term, any thoughts on how we should think about which areas we’ll see the most expansion in margins?
Woody Woodall: Yes, I think you’ll see expansion across all three segments particularly as corporate costs get leveraged into those segments. You’ll see incremental probably in merchant and banking and some of the most of the revenue synergies are driven out of those two segments, but you will see margin expansion across all.
Bob Napoli: Thank you. Appreciate it.
Operator: Thank you. Our next question comes from Vasu Govil with KBW. Please go ahead.
Vasu Govil: Hi, thanks for taking my question and congratulations on a great quarter.
Gary Norcross: Thank you.
Woody Woodall: Thank you.
Vasu Govil: I guess the first question on the Worldpay and Vantis cost synergies, are you still tracking in line to deliver that $250 million number that you had called out? And then as we think about the revenue synergies, do you have any updated thoughts given that you have seen this acceleration in deal signings. So it could be tracking better than the $100 million number that you’re doing out there before?
Woody Woodall: Yes, on the cost side, we are really kind of close that out last quarter at the $250 million number. So most of the tracking at this point of that is behind us and we’re focused on integrating the new Worldpay with FIS. With regard to the $100 million of revenue synergies that was previously outlined, we anticipate more of that to flow into 2020. But I think that’s roughly in line with the original expectations as you are seeing us call out those cross- sells, and feel very confident that that’s still a good number.
Vasu Govil: Great. And just a quick follow-up on the strong new sales number, can you give us a little bit color maybe on sort of what the composition of that new sales looks like, where you were seeing more strength? And then you also noted the backlog accelerated to 9%, I think it was 7% last quarter. Does that mean we are running ahead of track for 2020 or is there a different sort of interpretation of that?
Gary Norcross: Yes. No, most of our sales success what we are seeing obviously, we highlighted a number of key wins, but you’re really seeing it around our new technology, new innovation, new solutioning drive we highlighted the merger of two very large regional banks coming together to form almost $50 billion institution and they selected to come with FIS, even though the other bank that was acquiring our bank. So, and that’s all just based on the innovations around core bank processing, which was a question highlighted earlier and also our omni-channel digital experience. We’re also seeing it across all of our real-time faster payments type solutions. We have highlighted a lot on this call around merchant. Certainly in Capital Markets, we are seeing strong growth in regtech and some of the other areas. What I am really excited about is just how much of it is really now coming into our full blown SaaS models. Right. We’ve talked a lot about this on – on this quarter, it was really nice to see Capital Markets grow with actually flat license fees and accelerated – significant acceleration on the SaaS deployment of software, and so it really gives us high confidence as we lean into – going into next year. And as Woody talked about our accelerated growth targets, so all of that makes us feel really good about what we are seeing going into 2020.
Vasu Govil: Great. Thank you very much.
Operator: Thank you. Our next question comes from Matt O’Neill with Autonomous Research. Please go ahead.
Matt O’Neill: Hi, good morning. Thanks for taking my question. Most of the detailed questions have been asked and answered. I was wondering though if we could bring it back to, I think it was the final slide of the merger deck or you talked about the promise of the end-to-end connectivity between issuer data and acquiring and I think the view that this could bring a durable competitive advantage to off rates and fraud rates longer term. And so I know it’s only a few months in, but have the teams kind of met, has the data pool has been sort of discussed and shared or maybe you could articulate kind of how that longer term synergy process is starting to take shape?
Gary Norcross: Yes, no, I think it’s a great question, Matt. Absolutely the teams have met, we have got a full plan around improving our off rates and reducing our fraud rates. The whole end-to-end we are evaluating this even closed loop makes sense. So there is a lot of opportunities here that the combined asset pool of the combined company can drive into the future. As we have talked about on prior calls, really need to look at those things starting to come online, 18 months, and after because there is work. I mean, Woody highlighted, even our loyalty as a currency where we’re bringing that online in a fully integrated manner in the first half of next year. So we do have to do work as we put these together, but the quick answer is, the teams are highly engaged. Excuse me, and we’ve got a lot of governance around that and we will continue to drive to that because we think there’s a lot of opportunity on that in the 18 months out timeframe.
Matt O’Neill: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Ramsey El-Assal with Barclays. Please go ahead.
Damian Wille: Hi guys. Good morning. This is Damian on for Ramsey. I wanted to ask on the PIN debit routing you called that out as the driver of the revenue synergies this quarter. Is that opportunity largely complete now or is there more to go there and what would you view is the sort of next synergy driver that you will focus on?
Gary Norcross: No, I wouldn’t say it’s complete at all. I think Woody was just trying to highlight something that drove a big piece of the early synergies win that we highlighted. There were other things that were in that number as well. But as we look for opportunities to leverage our scale whether it’s in debit routing, merchant referral services, even some of the things we talked about on the last question that will continue to drive and accelerate the revenue. We really have identified six major areas that we’re focused on today. The teams have rallied around those. We’ve built detailed plans around that, whether it’s investment in software for development purposes etc or just sales plans and sales tactics and execution, and I can tell you we are way down the path on all of those major categories. And as we come in the future quarters. We’ll give you more and more highlights as we see that revenue ramp. But you know, last quarter, we increased the amount of revenue for next year from a cross-sell standpoint. Given the quick out of the huge success we’ve had, we’re actually very excited and feel that number is – we’re certainly much more confident in that number as we go into it and then in future quarters, we’ll give more and more detail for you.
Damian Wille: Yes, that’s great. And then a follow-up, actually we have been talking a lot about Brazil today, maybe we could talk Brazil than a little bit more on India. I know you called that out, originally as a focus area, maybe you could give us more color on just what exists in your India business today how much of it is ATM versus core versus the card processing and then which of those businesses you expect to lever the most in the context of this Worldpay cross-sell?
Gary Norcross: Yes. Look, I mean, we have talked a lot in the past. Obviously, we have got a large ATM business in India. We have got a lot of large now in growing core banking business in India. We were very successful in leveraging a lot of the new charters that were launched in India as a mandate by the government. So we have successfully launched those. We will leverage obviously those customers to cross-sell further payment capabilities and we talked about e-commerce, which we think there is a real opportunity to leverage more e-com in India as well, but it’s really going to be a combination of all of our capabilities that will continue to allow us to accelerate our India growth rates.
Damian Wille: Thank you.
Operator: Thank you. Our next question comes from the line of Tien-tsin Huang with JPMorgan. Please go ahead.
Tien-tsin Huang: Thanks so much. It looks like a great start to Worldpay. I heard the 9% organic growth in the backlog, Gary, how about underlying retention and pricing? Is that moving up or holding up as well in driving your acceleration comment next year?
Gary Norcross: Yes, you know what, what I would tell you Tien-tsin, we have talked about this in the plan. We are not seeing any acceleration loss rates or pricing compression has been a fact for years in our banking and capital markets business, so we – and we are not seeing really an acceleration of that as well. I mean it seems to be pretty consistent. I would tell you, I don’t think its necessary slowing, but we feel great about the share we’re winning and feel great about our competitive positions. But we don’t see that as an accelerating headwind going into next year and it gives us that much more confidence as we look into next year.
Tien-tsin Huang: Good. It’s encouraging. Just two quick clarifications. The merchant bank deals, the U.S. and the Brazil and maybe just the short-term pipeline as well. I’m curious, are this mostly the Novo merchant bank deals, just curious how quickly those things can ramp and then also on capital markets can we say that you have reached an inflection there with converting from licensing to just asset deals?
Gary Norcross: Well, let’s go to the first one that is both of the merchant deals were competitive takeaways. And so we’re excited about that. When you look at capital markets opportunity that we’ve talked about, I don’t know that we’re at the inflection point. Q4 naturally has a heavy license component and always has been. We talked about how we have got a balance from a sales standpoint of our license grow over compared to our SaaS model. We think this quarter was just a great execution by the team, they really did just a really nice job with that management, and so it’s certainly is a strong indicator, you will see reoccurring revenue in capital markets continue to accelerate. But we’re still – it will still be next couple of years before we get truly license fees down in a range, what you’re seeing in banking, which is a very small percentage.
Tien-tsin Huang: Understood. Thank you for the update.
Woody Woodall: Thanks Tien-tsin.
Operator: Thank you. And our last question today comes from the line of Joseph Foresi with Cantor Fitzgerald. Please go ahead.
Joseph Foresi: Hi, just two quick ones to wrap up. Maybe you could give us a little bit more color of your on the ground conversation with banks, particularly in the merchant services, how that conversation is going, what pricing looks like because obviously it’s been coming down over a long period of time. And then I’ll ask my second one upfront as well. Just the delta on the upside on the cost synergies, when we get to the top end of the range, where do you think you might be able to extend the cost synergies and what functions would you be looking at?
Gary Norcross: I’ll take the first one on the merchant conversations. I think if you look, one of the things that we were excited about when we put the combination Worldpay together was just how much they have spent on next generation technologies themselves, right. So you look at FIS, we have talked a lot about our modernization efforts, our transformation efforts. I would tell you Worldpay what they are very similar process whether it’s their acquiring platform in the UK or frankly stuff, they have done with high valued integrated payments and then e-commerce, and so when we are talking to our bank referrals for merchant referral programs, they see the benefits of that investment, they see the technology and what it can drive and how it can help them differentiate and actually grow their revenue streams. From a pricing standpoint, like all the industries, it’s price competitive out there. And we think our scale allows us to compete in the investments we’ve made. We think it allows us to compete in that category very, very effectively. Are we seeing increases in price competition honestly I’m not from my chair. But I would tell you it’s always been price competitive. Alright, and I think FIS is in a real good position to compete on that.
Woody Woodall: On the cost synergy side, I think we are really pleased with where we are. At announcement day we started out with a roughly $400 million of cost synergies, we increase that to $500 million on the second quarter call. We increased that to greater than $500 million today, while we’re not end of job, we continue to focus. I think the teams are very good and continue to drive costs out of the business and we’ve got a long history of being able to overdrive our synergy targets.
Joseph Foresi: Thank you.
Gary Norcross: I am excited about the strength of our performance following the Worldpay acquisition and the progress we’ve made in bringing our two great teams together. I would like to thank our more than 55,000 associates across the globe who are working hard everyday to deliver exceptional results for our clients and shareholders. If you have any questions, following today’s call, please reach out to our Investor Relations team. I couldn’t be more excited about the future of FIS and I want to thank you for joining us today.
Operator: Thank you. Ladies and gentlemen, that does conclude your conference for today. You may access a digitized replay system after 11:00 a.m. Eastern through December 6 at midnight by dialing 1-800-475-6701 and entering the access code 473273. International participants may dial 320-365-3844. Those numbers again are 1-800-475-6701 and 320-365-3844 with the access code 473273. That does conclude our conference for today. We thank you for your participation and for using AT&T executive teleconference service. You may now disconnect.